Operator: Hello, everyone, and thank you for joining the Financial Institutions, Inc. Third Quarter 2025 Earnings Call. My name is Lucy, and I'll be coordinating your call today. [Operator Instructions] It is now my pleasure to hand over to your host, Kate Croft, Director of Investor Relations, to begin. Please go ahead.
Kate Croft: Thank you for joining us for today's call. Providing prepared comments will be President and CEO, Martin Birmingham and CFO, Jack Plants. They will be joined by additional members of the company's leadership team during the question-and-answer session. Today's prepared comments and Q&A will include forward-looking statements. Actual results may differ materially from forward-looking statements due to a variety of risks, uncertainties and other factors. We refer you to yesterday's earnings release and investor presentation as well as historical SEC filings, which are available on our Investor Relations website for a safe harbor description and a detailed discussion of the risk factors relating to forward-looking statements. We will also discuss certain non-GAAP financial measures intended to supplement and not substitute for comparable GAAP measures. Reconciliations of these measures to GAAP financial measures were provided in the earnings release filed as an exhibit to Form 8-K or in our latest investor presentation, available on our IR website, www.fisi-nvestors.com. Please note that this call includes information that may only be accurate as of today's date, October 24, 2025. I will now turn the call over to President and CEO, Marty Birmingham.
Martin Birmingham: Thank you, Kate. Good morning, everyone, and thank you for joining us today. Our company reported strong third quarter 2025 financial results marked by balance sheet growth, robust revenue generation, improved profitability metrics and meaningful build of tangible and regulatory capital. Our teams delivered growth on both sides of the balance sheet, including loan growth of 1.2%, driven by commercial lending in our Upstate New York market and a 3.9% increase in total deposits as seasonal increases of public deposits were supported by growth of core nonpublic deposits in our commercial and consumer business lines. Record quarterly net interest income and increased noninterest income led to net income available to common shareholders of $20.1 million or $0.99 per diluted share for the third quarter. These earnings translated to return on average assets and equity of 132 basis points and 13.31%, respectively, both up notably from the linked and year ago periods. Based on our strong year-to-date performance, we are making several upward revisions to our full year 2025 guidance and tightening some ranges previously provided. Among these changes are updates to profitability metrics, including return on average assets and return on average equity. We now expect ROAA for the year to exceed 115 basis points, up from our previous guide of 110 basis points and an ROAE of greater than 12%, up from 11.25%. Given our team's continued execution, along with the opportunities we see in our markets across business lines, we would expect to raise the bar for profitability again next year as we target incremental improvement in returns through 2026. We laid out loan growth of between 1% and 3% at the start of the year amid an uncertain economic environment. Given the strength of our performance year-to-date, we expect to achieve the high end of this range. As a reminder, our loan growth guide also reflects our expectations for consumer indirect loan balances to remain relatively flat year-over-year. with growth being driven by our commercial franchise. To that end, total commercial loans of about $3 billion reflect an increase of 1.6% from June 30, 2025, and 8.3% from September 30, 2024. Commercial business loans increased 2% during the third quarter of 2025, reflecting both new originations and increased line utilization which may come down in the fourth quarter. Commercial mortgage loans were up 1.5% from the end of the linked quarter and up 8% year-over-year. Third quarter commercial growth was driven by our upstate New York markets, including C&I activity in the Syracuse region and CRE in Rochester. In the Syracuse market, we continue to see expanding opportunities fueled by Micron Technologies' $100 billion investment in our region. For example, our Syracuse team recently closed a notable deal supporting the expansion of medical office space within close proximity to Micron's Central New York semiconductor site. Our pipelines remain strong across upstate New York markets, and we believe that we'll be able to maintain momentum heading into 2026 and as pent-up demand for credit is likely to be released with future rate cuts. Turning to consumer lending. Our indirect portfolio rebounded nicely in the third quarter on the heels of softer second quarter originations. Consumer indirect balances of $838.7 million at September 30 increased 0.6% from June 30 and were down 4.1% year-over-year. As a reminder, we are a prime lending operation with more than 350 reputable new auto dealers across New York State. Credit extension is for individual vehicle purchases, not floor planned financing, and we stay within a well-defined credit box, resulting in a portfolio with a weighted average FICO store exceeding 700. This portfolio's small average loan size of about 20,000 provides natural risk dispersion. Residential lending was up modestly from the end of the linked quarter and flat to the year ago period. The housing market remains tight in the Rochester and Buffalo regions and home prices have continued to increase, particularly in Rochester. That said, new listings and inventory are up on a year-over-year basis in both regions, which is promising. Our pipelines also look healthy heading into the fourth quarter and mortgage and home equity applications are up 12% and 11% year-over-year, respectively. Turning to credit quality. Annualized net charge-offs to average loans for the quarter of 18 basis points were half the level we reported in the linked quarter and relatively in line with the 15 basis points recorded in the third quarter of 2024. In the third quarter, we recovered approximately $400,000 related to a previously charged off construction loan associated with a historic property in our Rochester market. Our consumer indirect charge-off ratio was 91 basis points in the most recent quarter, up seasonally from the linked period but down from the third quarter of last year. This remains comfortably within our historic range, reflecting the prime lending nature of our indirect business. While we experienced 2 basis point increase in our ratio of nonperforming loans to total loans to 74 basis points at September 30, 2025. This is down notably from 94 basis points 1 year ago. We continue to work through the 2 commercial relationships that have made up the majority of nonperformers for the past several quarters. The $1.5 million increase in total nonperforming loans during the third quarter relates to 4 smaller commercial loan downgrades, each in different industries and geographies facing unique issues. Accordingly, this is not indicative of a downward trend in our overall commercial loan asset quality. The overall health of both our consumer and commercial portfolios remained solid and reflects enhanced diversification over the years. Indirect auto balances and residential lending make up 18% and 16% of total loans, respectively. Our commercial portfolio is well diversified by loan type, client type and geography and does not include any lending to nondepository financial institutions. We have consistently employed strong fundamental underwriting processes and have experienced credit professionals working in separate credit delivery and relationship-based functions. That credit discipline is reflected in our low credit costs. We remain comfortable with our guided full year net charge-off ratio range of between 25 and 35 basis points and our current loan loss reserve ratio of 103 basis points. Period end, total deposits were $5.36 billion, up 3.9% from June 30, driven by seasonal increases in our public deposit portfolio and also reflective of growth in core nonpublic deposits. As a reminder, public deposits are sourced through long-standing relationships with more than 320 local municipalities and the balances peak in the first and third quarters. Total deposits were up a modest 1% from a year ago, reflecting an increase in broker deposits to help offset the BaaS platform wind down we initiated in September 2024. BaaS deposits were a modest $7 million at the end of the third quarter, and we now expect those to flow off the balance sheet in early 2026. We continue to expect total deposits at year-end 2025 to be generally flat with the prior year-end. It's now my pleasure to turn the call over to Jack for additional details on our performance and outlook.
Jack Plants: Thank you, Marty. Good morning, everyone. Net interest margin expanded 16 basis points on a linked-quarter basis, reflective of improved yields on average earning assets alongside deposit repricing that supported reduced funding costs. Our active balance sheet management contributed to 11 basis points of improvement to investment securities yields largely related to the modest portfolio repositioning that occurred in June. Activity continued during the third quarter when we sold $22.3 million of 30-year fixed rate mortgage-backed securities with higher expected prepayment speeds, the proceeds of which were reinvested into investment-grade corporate bonds. As this small restructuring was completed in September 2025, we expect to see further benefit to investment security yields in the fourth quarter. Average loan yields increased 3 basis points as compared to the second quarter of 2025. As a reminder, approximately 40% of our loan portfolio is tied to floating rates with a repricing frequency of 1 month or less. We expect loan yields to decline slightly in the fourth quarter given the recent rate cut. Cost of funds decreased 11 basis points from the linked quarter as higher rate CDs matured alongside overall downward deposit repricing. Given our year-to-date results, we're tightening our expected range for full year net interest margin to between 350 and 355 basis points. This guidance includes the expectation for modest margin pressure in the fourth quarter, given recent FOMC activity, as deposit repricing lags loan repricing, given the adjustable percentage of the loan portfolio previously mentioned. That compression is expected to be temporary based upon deposit repricing assumptions. Looking ahead to 2026, we anticipate incremental margin improvement to be driven by changes in earning asset mix through loan growth, coupled with active management of our funding costs. Third quarter double-digit margin expansion supported strong net interest income of $51.8 million, up $2.7 million or 5.4% from the second quarter. Noninterest income was $12.1 million, up $1.4 million or 13.6% from the linked quarter, reflecting increases from several revenue streams. Investment advisory revenue topped $3 million, up 4.8% on a linked quarter basis. Courier Capital experienced positive net flows as new business and market-driven gains offset outflows pushing AUMs to $3.56 billion at quarter end, up $173.6 million or 5.1% from June 30. During the third quarter, we announced the opening of a satellite office in Sarasota, Florida. The office allows our wealth management firm to better serve existing clients who spend time in Florida, while also opening the door to new relationships in one of the nation's most dynamic retirement markets. Third quarter company-owned life insurance income was $2.8 million, down from $3 million last quarter. As a reminder, in the first quarter, we initiated a COLI restructuring and the redemption of the surrender policy proceeds from the carrier did not occur until June, contributing to higher levels of COLI revenue in the first half of the year. Swap fee income was up 150% to $847,000 as a result of increased commercial back-to-back swap activity during the quarter. We also recorded a net gain on investment securities of $703,000, primarily related to the modest restructuring we completed in September. We expect noninterest income, excluding gains or losses on investment securities, impairment of investment tax credits and other categories that are difficult to predict, such as limited partnership income to exceed our original guidance of up to $42 million for the year. Noninterest expense was $35.9 million in the third quarter compared to $35.7 million in the linked quarter. This remains somewhat elevated, largely due to higher claims activity in our self-funded medical plan that resulted in a $452,000 increase in salaries and benefits expenses. While we do have stop-loss insurance, given the level of claim activity that we've experienced to date, we expect this expense category to remain somewhat elevated in the fourth quarter. As a result, we now expect full year expenses to come in closer to $141 million, approximately 1% higher than our original guide of $140 million. Professional services expenses of $1.7 million were up $237,000 from the second quarter, driven in part by outsourced compliance review expense and third-party commissions on swap transactions. These increases were partially offset by lower occupancy and equipment expenses due to a change in facilities maintenance service vendors and timing of costs associated with an ongoing ATM conversion as well as lower FDIC assessments. The ATM conversion project is substantially complete, resulting in an upgraded customer experience and the associated expense is now substantially reflected in our run rate. The strength of our balance sheet and growth of our relationship-based business lines supported robust revenue expansion that has more than surpassed expense growth during the year. The year-to-date efficiency ratio of about 58% puts us solidly below the 60% threshold we were targeting this year. We remain intently focused on expense management as we finish 2025 and move into 2026 in order to maintain positive operating leverage and a favorable efficiency ratio. Considering the strength of earnings from the first 9 months of the year, we are narrowing the range for our expected effective tax rate to between 18% to 19% for 2025, including the impact of the amortization of tax credit investments placed in service in recent years. We've been keenly focused on our capital stack as evidenced by the refreshment of our share repurchase plan during the quarter. We are also carefully considering our options relative to the outstanding sub debt given the repricing of both tranches that occurred in 2025. We are comfortable with our capital position, especially given the improvement in both our TCE and regulatory ratios in the third quarter. TCE improved to 8.74% and common equity Tier 1 increased to 11.15%, given organic increases in common equity through strong earnings, coupled with active management of our balance sheet and risk-weighted assets. Overall, our prudent balance sheet management, credit disciplined loan growth and resilient noninterest income has supported strong revenue generation and positive operating leverage. I am proud of our team's execution, strength of our operating results and the corresponding growth across tangible equity and regulatory capital ratios. That concludes my prepared remarks, and I'll now turn the call back to Marty.
Martin Birmingham: Thanks, Jack. Our third quarter results demonstrate our capabilities and reinforce our excitement and optimism about the opportunities ahead. Profitable organic growth remains a top priority, and we believe that our year-to-date momentum will support a strong finish to 2025 and drive incremental performance in 2026. I would like to thank you for your attention this morning. Operator, this concludes our prepared remarks. Please open the call for questions.
Operator: [Operator Instructions] The first question comes from Damon DelMonte of KBW.
Damon Del Monte: First question, just regarding the margin and the outlook. Jack got the commentary here in the fourth quarter kind of being down modestly. Can you just kind of give us a little perspective if we have a couple of rate cuts this quarter, kind of when you would expect the margin to bounce back in '26? I mean is it kind of a step down this quarter and then a catch-up going into '26 with some kind of a grind higher? Or how do you think about the margin?
Martin Birmingham: Yes. We've been fairly aggressive with some of our deposit repricing. We demonstrated that in the fourth quarter of last year. We made some changes right at the end of September. And with the expectation that there's going to be a cut this month in October, we're preplanning for adjustments there. So our guided range that we provided for full year margin, just given that there's -- it's late in the year would have -- a rate cut would have a modest impact to the full year guide. We'd still hold on that guidance potentially at the bottom end of the range. But I would expect that going into 2026, our jumping off point would probably be somewhere around 3.60%.
Damon Del Monte: Got it. Okay. And then from there, you think it can kind of grind higher as you continue to benefit from new loan production and repricing of other fixed rate loans and continued management on the cost of fund side?
Martin Birmingham: That's correct.
Damon Del Monte: Okay. Great. And then just second question here on the buyback. Kind of good to see capital levels growing valuation still remains right around tangible book value. What are your thoughts on getting a little bit more active in the buyback and supporting the shares a little bit?
Martin Birmingham: Well, we're pleased that our Board approved the buyback. It's another option that we have to support the shares and invest in ourselves, and we look forward to updating the market, Damon, when activity occurs.
Damon Del Monte: Okay. Great. And if I could just sneak one more in on the loan growth. It sounds like you seem a little bit more optimistic today than you did maybe a quarter or 2 quarters ago. How do you look at maybe coming out of '25 and into '26, do you think you can kind of get back to that mid-single-digit rate of net growth?
Jack Plants: This is Jack. I can take that one. So we're in the stages of building out our financial plan for 2026. Certainly, our experience we've had lately at the tail end of 2025 has been encouraging. I think that high -- or mid-single-digit growth, as you can is appropriate for modeling purposes.
Operator: We currently have no further questions. So I'd like to hand the call back to Marty for any final and closing remarks.
Martin Birmingham: Thanks to everyone who called in this morning. We look forward to continuing the conversation next quarter. Have a wonderful weekend.
Operator: This concludes today's call. Thank you all for joining. You may now disconnect your lines.